Jan Hoff: Good morning, and welcome to Kongsberg's presentation of our Third Quarter Results. This is a live webcast, and you may submit questions through the webcast frame. The results today will be presented by President and CEO, Geir Haoy, together with Executive Vice President and CFO, Mette Toft Bjorgen. And with that, I'll leave the floor to Geir.
Geir Haoy: Thank you, Jan Erik, and good morning, and welcome to our third quarter presentation. It is a pleasure to report that we have completed another very solid quarter with growth in all our business areas. We are developing on plan. Our growth story continues and our profitability is solid. The strong profitability with an EBIT of almost NOK1.9 billion highlights our ability to scale as the operating revenues continue to increase. We experienced increased demand for our systems and solutions, both within the defense and the ocean space technologies. Activity is high throughout the entire group, and the record high order backlog of almost NOK97 billion forms the basis for further growth. To stay at the top of the curve and prepare for the future, we are investing in new capacity. This includes new employees, facilities and further optimization of production and processes. This quarter, we have announced that we are expanding our missile production to the U.S. and Australia. These are important milestones and reflects the growth and the potential we see going forward. The world is changing, and so are we. Security and defense are top priorities in Norway, and also in allied countries, leading to a strong demand for our products and services in our defense domain. At the same time, the maritime and ocean space industry is undergoing a transition towards net zero, implying zero emission energy sources and more efficient energy utilization. This leads to increased demand for technology directed towards the maritime domain, including ocean surveillance, monitoring, seabed mapping among several areas. All-in-all, I'm very satisfied with this quarter. Our financial figures and performance are strong. We are ramping up to meet future demand and our markets are growing. I am, therefore, confident that Kongsberg has a solid foundation for further growth. Kongsberg Maritime delivered an extremely strong quarter and was the main contributor to both growth and profitability during the quarter. On top of a 30% revenue growth, book-to-bill came in at 1.07. We see solid growth in our deliveries to new vessels from segments such as container and more general merchant vessels, tankers, LNG carriers and also other high-spec vessels. The service and aftermarket business also continues with an increased scope of deliveries. Total order intake in Kongsberg in the quarter was almost NOK13 billion. And Kongsberg Maritime was also the main contributor, increasing order intake by NOK1.5 billion or 26% compared to the corresponding quarter last year. The number of annual contracted vessels from the yards have been relatively stable during the past years. However, if we analyze this closer, we find that the mix of orders have changed towards more high-spec vessels, as well as generally higher technology content in the volume segments. We see that high-spec areas such as LNG, naval and offshore in total accounts for more than 60% of our new build order intake. Looking at today's markets, it seems like the favorable Kongsberg Maritime market will continue. Only two days ago, we announced an order of worth NOK800 million of delivery equipment to 10 new PSV vessels. This is the first contract in almost 10 years from this segment. And the value is approximately 3x the average value compared to the past offshore boom. I think this is yet another example of cross-sales effect from the Rolls-Royce Commercial Marine acquisition. The offshore fleet in general is aging and to make sure these operations are performed in line with the regulation and efficiency goals, more new assets are needed going forward. Currently, the order book – order books at the yards to the total fleet is at a historic low level. And seen together with the day rates in this segment, it is a solid indicator of future contracting. The offshore segment is only one out of several segments where we expect strong and long-term demand for our high-tech energy efficiency solutions. However, as we have commented on before, it is important to remember that the shipyard capacity currently runs on high utilization, meaning the lead time are a bottleneck for general fleet growth. And then our ambition is to substantially outgrow the general growth of the fleet. Kongsberg Defence & Aerospace order intake was slightly above Q3 last year with NOK4.7 billion. The largest order was the Joint Strike Missile order from Australia. So Australia is now the fourth country ordering the JSM. Two weeks into the Q4, the government of the Netherlands announced plans to acquire NASAMS and NOMADS air defense system, in a deal expected to be valued at approximately NOK11 billion. The Netherlands purchased their first NASAMS units back in 2006 and will now expand their NASAMS' capabilities and complemented it with a new NOMADS system. The NOMADS was launched at Eurosatory in mid-June this year, and it's a highly maneuverable air defense system, especially designed to protect troops in movements. The contract is expected to be signed later this quarter. Kongsberg Discovery delivered a book-to-bill of 1.1. And among the orders signed in Discovery this quarter were four HUGIN AUVs. The primary drivers fueling demand for Kongsberg Discovery's products, like the rest of Kongsberg, are security and sustainability. The HUGIN family is a great example of a system with demand generated from both these macro trends. HUGIN is a multi-role vehicle capable of collecting high-resolution data for commercial, scientific and defense application. And since the introduction in the 1990s, HUGIN AUVs have completed more commercial surveys than any other AUV and continue to deliver world-leading performance. HUGIN is and will be an important contributor for Kongsberg Discovery's revenues and profits going forward. We have a solid pipeline of projects already in our order books, and we are experiencing increased demand for the system, both from civilian, but also from defense customer. We are constantly evaluating our portfolio of businesses. And in September, we signed an agreement to sell our steering gear and rudder business to a fund managed by the Nordic private equity firm, Norvestor. The steering gear and the rudder business is currently part of the Propulsion and Handling division, and represented approximately NOK850 million revenues in 2023. Another important strategic agreement signed in the quarter was the initial development contract with the Norwegian Defense Materiel Agency for the new Supersonic Strike Missile. The new Supersonic Missile is a collaborative German-Norwegian development project where Kongsberg has the project lead. The anti-ship missile will be complementary to the NSM. This will enhance the Armed Forces' deterrence capability and improve the ability to engage longer-range targets. The new missile will be operative from mid-2030s. In Q3, it was announced that we are increasing our production capacity to include new facilities in both Australia and the United States. The Australian government has stated that they intend to fully finance a missile production and maintenance facility. And the new facilities in Virginia, U.S. and New South Wales in Australia will be equipped to assemble, upgrade and repair both Naval Strike and Joint Strike Missiles. These two new facilities are supported by the strong international demand we see for both missile types, and we will be able to offer crucial close-to-customer production and maintenance capabilities. So with that, I will leave the floor to Mette to take us through the financial status.
Mette Bjorgen: Thank you, Geir, and good morning to all of you joining us for this Q3 presentation. I'm happy to once again present strong growth and increased operating profits for Kongsberg, and I will now take you through the financial highlights. For the third quarter, Kongsberg delivered a total of NOK11.92 billion in revenues. This is a year-on-year increase of 19%, and all four business areas contributed with growth ranging from 8% to 30%. Year-to-date, we have achieved revenue growth at 22%. Our largest business area, Kongsberg Maritime, delivered another quarter with record revenues at NOK6.49 billion, an increase of 30% or NOK1.5 billion in absolute terms. This was driven by high activity, both in terms of deliveries to new builds as well as spares and upgrades to the existing fleet. All divisions contributed with growth. Kongsberg Defence & Aerospace delivered NOK4.26 billion revenues, up 8% compared with Q3 last year. In June, we opened our new missile production facility, which will increase our capacity substantially. As previously stated, the move to an opening of our new facility, combined with natural and agreed phasing in our projects will temporarily slow down growth in the Missile division. We see this unfold as planned in the third quarter. Similar to Q2, the largest revenue contributor among our projects in the third quarter was remote weapon station deliveries to the U.S. Army through the CROWS program. We are currently delivering on a combination of orders from both the CROWS IV and the CROWS V framework agreements. CROWS V was signed two years ago, and so far, we have received orders worth approximately NOK270 million out of the US$1.5 billion framework agreement. Kongsberg Discovery achieved NOK1.12 billion in revenues, an increase of 21% year-on-year. Deliveries of HUGIN AUVs and mapping and positioning systems, both to commercial and governmental customers, were the drivers in another solid quarter. Kongsberg Digital delivered NOK422 million in revenues, an increase of 17% compared to last year. NOK227 million was recurring revenues. The group achieved a quarterly operating results of NOK1.87 billion compared to NOK1.27 billion in Q3 2023. The EBIT margin came in at 15.7%, up from 12.7% last year. The largest contributor was Kongsberg Maritime. Kongsberg Maritime achieved NOK1.11 billion and a corresponding margin of 17.1%. In Q3 last year, EBIT was NOK0.62 billion with a margin of 12.3%. The third quarter typically delivers higher margins due to holiday effects. In Q3 this year, we have also approximately NOK100 million in one-offs related to reduced risk in specific projects. The underlying margin is still very solid. This is attributed to significant topline growth, favorable project mix along with strong project execution. Kongsberg Defence & Aerospace delivered NOK0.69 billion in EBIT and a margin of 16.2%. This compares to NOK0.59 billion and a margin of 15.1% in Q3 2023. The improved margin is a result of strong project execution, derisking and reaching project milestone. Project mix and project phasing impacts the margins in this business area. Kongsberg Discovery delivered EBIT up 12% from Q3 2023, coming in at NOK167 million. The EBIT margin was down from 16.1% to 14.9%. Project mix is the main driver for the margin changes. Kongsberg Digital had a negative EBIT of NOK43 million compared to negative NOK84 million last year. The business area reached the targeted positive EBITDA in Q3. Net earnings for Kongsberg was NOK1.37 billion in the quarter, resulting in earnings per share at NOK7.72 and year-to-date at NOK20.88 per share. From our associated companies, Kongsberg Satellite Services delivered 20% revenue growth compared to Q3 last year and their strongest quarterly EBIT so far this year, both in relative figures and margins. Patria delivered revenue in line with Q3 last year and shows 14% revenue growth year-to-date. EBIT is weaker than last year, mainly due to positive one-offs in Q3 last year. Now, both these companies have strong order backlogs and are operating in growing markets. Net working capital ended at negative NOK60 million this quarter. The strong working capital position is driven by customer payments received in Kongsberg Defence & Aerospace. In this business area, deliveries and payment structure in the large contracts can significantly impact on an isolated quarter's development. This is the major driver for the fluctuations in the group's working capital over the last quarters. Working capital as a percentage of revenues in Maritime & Discovery has been relatively stable year-to-date. We ended Q3 with a solid cash position of NOK7.1 billion, up NOK1.2 billion from Q2. EBITDA came in at NOK2.25 billion, and we maintain our focus on working capital in a period of high growth and see stable development quarter-over-quarter. Investments were lower in Q3 compared with the previous quarters as the new missile production facility at Kongsberg has opened. However, with the new initiatives announced in the quarter and continued need for more capacity, we expect the level to increase over the next quarters. As we communicated at our Capital Markets Day in June, Kongsberg is a long-term company subject to long-term market trends and drivers. Our order backlog extends into the next decade and is expected to grow further. We will continue to invest to secure our ability to deliver going forward. Scalability through strict cost control and efficiency targets is key to deliver profitable growth. This resulted in strong cash conversion through solid results and stable net working capital. And with that, I'll leave the floor to Geir for some final remarks.
Geir Haoy: Thank you, Mette. So as you can see from the financial figures and the presentation so far, we continue to see the strong demand for our entire portfolio through our exposure connected to the major drivers, which is the security and sustainability. The maritime fleet is aging, and we are in the middle of an energy transition. The future fleet must be more efficient and climate friendly. And the key to a sustainable maritime – to a sustainable maritime industry is technology. And Kongsberg Maritime shall be the frontrunner in this field. We see increased demand for our whole portfolio of defense systems, and we expect continued strong order intake, both in the mid and long-term. And we are currently in the negotiation stage on several international programs and positioned to grow our defense order backlog further already in Q4. Kongsberg Discovery with its world-leading portfolio of sensors and robotic products are experiencing strong demand from both commercial and governmental customers. And Kongsberg Digital will continue to scale and capitalize on its digital tools and twin technology with continued growing recurring revenues. I've mentioned it before, but it is worth repeating. Kongsberg's market position and the demand we are experiencing throughout our business have never been stronger. And we expect this trend to continue in 2025, but also beyond. And with that, I would like to open up for questions from our viewers.
Q - :
A - Jan Hoff: Thank you. We have quite a few questions from the viewers today. We start with two questions from shareowner, [Kjellbjorn Helland]. The first one is regarding your new production capacities within Kongsberg Defence & Aerospace. KDA is extending or starting up factories both in Norway and have announced factories in Australia and the U.S. this fall. How much will the production capacity within KDA increase when all these facilities are up and running?
Geir Haoy: Yes. We have said with the first facilities now in Kongsberg, the Nexus facility, we have said that we will increase our capacity with several hundreds. This is not something that we comment on the exact number of missiles we are able to produce, but the capacity will be several hundreds only in Norway. And then, of course, when we get online with Australia and U.S., which is, first and foremost, to serve the national need, we will of course also have further increase in the capacity. But to be very precise on that, we cannot do that.
Jan Hoff: Thank you. Second question from Helland is regarding the Hull Skating system. And in the annual report for 2023, Kongsberg states that Kongsberg launched this system together with Jotun back in 2020. The business area expects that the collaboration moves from a start-up to a scale-up over the next period. What is the current production capacity for the Hull Skating system? And how will the production capacity increase and the system move on in the following years?
Geir Haoy: As the question is implying is that, this is a cooperation with Jotun. Jotun is in lead of the Hull Skater program. We are the technology partner in that program. And I think to be – we will ramp-up the production as we see that Jotun is going more actively into the sales of the system. We have several customers out there now. It has been, I would say, a stepwise development program. And the capacity will be increased as we go more actively with the sales, but that is up to Jotun to decide when that is going to happen.
Jan Hoff: Thank you. And then a few questions from Fabian Jorgensen, Carnegie. With regards to Kongsberg Digital, should we expect positive EBITDA margins for that area going forward?
Mette Bjorgen: I can answer to that. Well, I think that for Kongsberg Digital, we'll continue to invest in its digital portfolio along with market activities, both to develop the solutions further and also increase market share and mature the market. And the level of these investments will determine the positive or not EBITDA going forward.
Jan Hoff: Second question from Jorgensen. With regards to Patria, results in Q3 came in a bit lower than the results in Q3 last year, where – and are there any effects in that results? And if yes, will they continue into Q4, so we should see a similar progression in the results in Q4?
Mette Bjorgen: Yes. Well, just the first thing when it comes to the Patria results, we're reporting one month later, and Q4 is then consists of four months from Patria. And typically, Patria is delivering very strong results in the fourth quarter. So Patria is delivering according to plan, and you can also expect an improvement in the fourth quarter.
Jan Hoff: Thank you. And third question from Jorgensen. With regards to Kongsberg Defence & Aerospace growth in Q4 and going forward, is the move to the new missile plant completed? Or will there be any limitations for this in the growth coming in Q4?
Mette Bjorgen: Yes. Well, we have – we are in the move to the new missile production facility. And what we've said is that, we will continue to ramp-up this production facility going into the first half of 2025. So you can expect more effects and also in other product areas, the phasing of, and delivery of large projects will affect the growth going forward. So you can also expect effects from this in the next quarter.
Geir Haoy: I think, we have said that, we will use 2025 to get up to full production rate in these new facilities. And – but slowly, we will see that we are up to that full production capabilities. So I think 2025 will be an exciting year. We are on plan. We are where we should be, and we are excited to see how this develops into 2025.
Jan Hoff: Thank you. Then a question from Marius Nilsen. Could you elaborate a little bit further on the large differences in net working capital for the business areas or within the business areas?
Mette Bjorgen: I think that you have to separate Kongsberg Defence & Aerospace from the other business areas that have a more normal and commercial net working capital development. In Kongsberg Defence & Aerospace, what we've said is that, prepayments from customers according to milestone and payment plans on large projects are significantly impacting the net working capital and the fluctuations from quarter-to-quarter. So for example, when we signed Poland last year, we also signed significant prepayment, and that affected our fourth quarter 2023 working capital significantly.
Jan Hoff: Thank you. And then a question from Marcus Gavelli, Pareto Securities. You have previously communicated that the margins in Kongsberg Defence & Aerospace will gradually decline towards a level around 17%. Are the scale effects that you are currently experiencing likely to delay the pace of the expected margin contraction? Can you give some more color on this?
Mette Bjorgen: Yes. Well, currently, we are not expecting the expected scale effects that will come from opening the new capacity. As Geir pointed to, we will spend 2025 to get up to speed on the new missile production facility, and we expect these type of scale effects to go into the next two to three years. When it comes from the profitable or the really favorable margin picture that we're looking at, at the moment is that we have a project mix showing we're delivering solid contributions and deliveries from mature and projects with really good project execution and derisking our deliveries going forward. So this is really other effects from our project portfolio.
Jan Hoff: Thank you. And then a question from Haakon Amundsen, ABG. We saw good performance on Kongsberg Maritime margins in Q3 also when you exclude the NOK100 million special item. Can you give some more color on the sustainability and potential going forward of the underlying margins as you are scaling up the activity in the business area?
Mette Bjorgen: You want to start?
Geir Haoy: Yes, I can start saying something about the market. I think we see, as I also pointed out in my presentation is we see now a strong momentum, both in the new sales and in the aftermarket. As Mette presented, there is some one-offs here. And I must say that – and it's also the third quarter effect, which is coming every – basically every year. But I will say that, this will also vary it because you – it's also the project mix and it's also the mix in the aftermarket, whether it's spares, projects and normal maintenance. So I think we have to say that, we are on the high level now basically due to these one-offs. It's a competitive market out there, but it's also a market where Kongsberg has a very solid position. So it will vary it, but we will do our utmost to stay on a solid profit.
Jan Hoff: Then a question around the same subject from Carlos Iranzo Peris, Bank of America. With regards to the margins in KM, if you go some 10 years back, you saw really high margins in that business area. What is the real margin potential for a business like Kongsberg Maritime if markets are booming? And more specifically, how should we think about Kongsberg Maritime margins next year in 2025?
Geir Haoy: I think we should be careful to comment on the margins because this depends very much on the market, of course, but it also depends on the project mix, as I just pointed out. It depends on the mix between new sales and aftermarket. I think, if you look at the history in Kongsberg Maritime, you see that, when we have, let's say, a market where you see that there is activities within all areas, we can manage to take out more margins. I think we are in the beginning of a quite strong market. There are some issues there, which I also pointed out in my presentation, and that is the bottleneck in the shipyards. But for the aftermarket and the requirements, regulations coming in, we see a strong market there for us with our energy efficiency solutions. So I would say, if that market continue, we will – we have the opportunity to continue to deliver solid margin also for Kongsberg Maritime going into 2025 and onwards.
Mette Bjorgen: And if I can just make a comment. When you compare 10 years back, Kongsberg Maritime had a completely different portfolio. Of course, we did the Commercial Marine acquisition. And of course, the project portfolio looks differently. But I think what Geir said, significant topline growth, strong project execution and also favorable project mix. When it comes to our aftermarket order backlog, we only have three to four months visibility. So of course, depending on the orders coming in will also impact the project margin significantly as well.
Jan Hoff: So with the current market conditions, you are positive towards 2025 as well?
Geir Haoy: Yes. I would say that, we think 2025 will continue to be – I just said that in my presentation. So I think we are positive to outlook in 2025.
Jan Hoff: Thank you. That concludes the questions from the viewers.
Mette Bjorgen: Thank you.
Geir Haoy: Thank you for joining us today, and we see you at the fourth quarter. Thank you.